Operator: Welcome to the Astro-Med Inc. Second Quarter Financial Results Conference Call on the 22nd of August 2012. [Operator Instructions] I would now hand the conference over to Stan Berger. Please go ahead. 
Stanley Berger: Thank you, Julie. On behalf of the management of Astro-Med, we are extremely pleased that you have taken the time to participate in our conference call. Thank you for joining us to discuss the company's fiscal 2013 second quarter and first half financial results and business outlook.
 Before I introduce management, I would like to remind everyone that certain statements made during the course of this conference call, especially those that state management's intentions, hopes, beliefs, expectations or predictions for the future are forward-looking statements.
 During this conference call we will make forward-looking statements within the meaning of the Securities Exchange Act of 1934. The statements are based on the company's present expectations and beliefs concerning future events, are necessarily based on certain assumptions which are subject to risks and uncertainties. Actual results may differ materially from those discussed here. More information on these risk factors is included in the company's filings with the Securities and Exchange Commission.
 By now, you should have received a copy of the news release which was issued yesterday. If you have not received a copy, please go to our website at www.astro-medinc.com, where a copy of the press release can be downloaded from the Investing Section of the homepage. 
 Hosting the call today are Everett Pizzuti, President and Chief Executive Officer; and Joe O'Connell, Senior Vice President, Treasurer and Chief Financial Officer.
 At this time, I will turn the call over to Mr. Pizzuti. Everett? 
Everett Pizzuti: Thank you, Stan, and good morning, everyone, and thank you for joining our conference call. With me, as Stan mentioned, this morning is Joe O'Connell, our CFO and Senior Vice President. 
 We are pleased to report on another successful quarter with strong earnings despite continued uncertainty in the general economy especially in Europe. Joe will provide a detailed review of our financials but I would like to call your attention to our operating income, which was up by 37.2% over last year's second quarter. This continues the improvements that we announced during our last call. Also, I'd like to give you a reminder that when you look at our current financials, keep in mind that comparisons to last year include the business that we divested. Last year's sales numbers include about $1 million per quarter from that divestiture. 
 Order bookings, a key indicator of the business, continue strong. This quarter we booked $19,886,000 with our QuickLabel Systems group leading the way. In fact, our new order bookings have been well over $19 million for the last 6 consecutive quarters and we see this rate increasing in the second half. 
 On the sales front, QuickLabel Systems, which represents well over half of Astro-Med's business, was up on both the hardware side as well as for the consumables. Last quarter, we announced a new color printer would be shipping in the second half. Well, we are pleased to report that we successfully launched our new Kiaro! color label printer in the second quarter and actually made first production shipments in the last weeks of July. The Kiaro! is a major new addition to the QuickLabel Systems product line. It uses inkjet technology and prints up to 8 inches per second at 1,200 dpi resolution. It is one of the fastest sprinters in the industry and produces incredibly beautiful color labels. 
 Dave's Marketplace, a local market chain that resembles Whole Foods, was one of our beta sites for the Kiaro!. In the short time, they printed over 100,000 labels with the Kiaro!. The graphic designer who used the printer was amazed at its ease-of-use, speed and print quality. He said he definitely did not want to give up using the Kiaro! and all he had was a prototype. He was one of the first to buy Kiaro!. We have similar results at our other beta sites. The Kiaro! does not replace any of our existing color label printers but rather fills another market niche, which was not available to us with our other products. Every sales demonstration of the Kiaro! by our field sales force is another positive and exciting experience. The Kiaro! will be a strong contributor to the future of QuickLabel Systems and carries with it lucrative consumable sales of ink and label material. With the Kiaro!, we now have a leading edge inkjet label printer in addition to our Vivo! Touch electrophotographic printer and our several models of thermal transfer color printers. 
 Orders for our ruggedized products were stronger than the first quarter and were also ahead of last year and our budget. We received new orders, not only from existing contracts, but we also received contracts from new customers in the U.S. as well as in Europe. As is the case for most contracts these days, we are precluded from identifying the customers and other details. We can say, however, that our new customer contracts are bringing us to new categories of aircraft, including helicopters. 
 Now turning to Grass Technologies. We are very pleased with the increase of sales in the second quarter. You may remember that during our first quarter's call, we mentioned that we were disappointed that hospital spending was pushed out and that we expected purchases to take place in the future quarters. Well, some of those orders indeed came in the second quarter. 
 In the quarter, we also announced a new electrode product, a disposable electrode for EEG and PSG applications. The new disposable has some unique features that set us apart from other disposables. It represents Grass' first entry into the disposable electrode market.
 We were somewhat disappointed with our Test & Measurement sales during the quarter due to some vendor-related issues relating to our new Dash MX Portable HM Recorder. Those issues are nearly behind us setting the stage for stronger sales of the product going forward. With respect to our TMX series recorders, however, sales were up as our improved distribution network was able to bring in more orders for these instruments. The TMX features innovations such as high-speed video recording synchronized with waveform data, high-channel count and high-response data capture to disk. 
 And now, we will present the detailed financials after which I will provide guidance for the balance of the year. Joe? 
Joseph O'Connell: Thanks, Everett. Good morning, everyone. I'm very pleased to share with you Astro-Med's financial results for the second quarter as well as for the 6 months financial results for our current fiscal year, FY 2013. 
 Net sales in the quarter, as you saw in the press release, were $19,572,000. That represents a 6.2% increase over the company's first quarter sales of $18,425,000. However, some 3.8% behind the prior year's second quarter sales of $20,336,000. However, if we do exclude the sales of the Astro North Carolina label business that the company divested itself back in January, the current year second quarter sales are slightly ahead of the restated prior year sales in the second quarter. Sales through our domestic channels were $14,013,000, that's 10% better than the first quarter sales, however, approximately some 2% behind last year's second quarter sales volume for domestic business. Again, if we exclude the divested North Carolina label business, the prior year sales volume, the current year's domestic sales were up 5.4% over the previous year. 
 International shipments were $5,520,000 in the second quarter, being down some 8.3% from the prior year's second quarter. Excluding the negative impact from foreign exchange, the current year's international shipments were virtually flat with the prior year. However, relative to the channels of our International business, our branch business were up normally from the previous year due to the unfavorable foreign exchange, whereas our international dealer volume reported a double-digit decline, as [indiscernible] mentioned earlier. 
 Providing profiling Astro-Med's second quarter sales by product group has the QuickLabel Systems of color and monochrome printing systems at $10,807,000 in sales for the second quarter. That's being up 4.3% over the first quarter sales volume and it's some 4% behind the prior year QuickLabel sales volume in the second quarter. Again, if on a restated basis excluding the divested business, actually, QuickLabel Systems is up 5.4% from last year. 
 Sales, if you heard from Grass Technologies product group, representing our clinical and research neurophysiological diagnostic systems and related electrodes and creams consumables were $4,909,000 in the second quarter. That's at 20.1% increase from the first quarter sales volume as well as a 6.2% better than the Grass Technologies sales volume in the second quarter of the previous year. 
 As Everett mentioned earlier, although our new orders for the company's Test and Measurement product line are recorded in ruggedized products, reached 4.7 in the quarter. Sales in the second quarter were $3,856,000 being approximately 3% lower than the first quarter sales volume and a double-digit decline from the previous year's second quarter Test & Measurement sales volume. The lower sales volume being really traceable to order timing as well as delays in the new product introduction. 
 The company's backlog at the end of the quarter rose 18.9% to $7.4 million at the end of the second quarter. Our gross profits in the quarter were $8,299,000, reflecting a 5% increase over the prior year's gross profit dollars for the second quarter as well as a margin of 42.4%, that's up from the first quarter's margin of 40.0% as well as the prior year's margin of 38.9%. 
 Our expense levels in the combined secondary operations of selling, R&D and G&A were behind last year's dollars at $6,621,000. The reduced spending levels were confined to the selling and marketing functions were at lower trade shows, commissions and advertising expenses were much lower than the previous year. 
 Operating income, as Everett mentioned earlier, in the second quarter was $1,678,000. That's some 37.2% over the prior year's operating income and achieves an operating margin of 8.6% against the first quarter's operating margin of 4.8% and the prior year's operating margin second quarter, 6%. 
 Other income and expense was an expense of $89,000 in the quarter. That compares against last year's operating other profit of $297,000. This year's expense was related to unfavorable foreign exchange. The profit last year was related to the insurance proceeds the company realized in the second quarter. 
 Our federal state foreign taxes were $602,000 in the quarter, reflecting an effective tax rate of 37.9%. That compares against the prior year effective tax rate of 31% at the same timeframe. The company's second quarter results produced a net income of $987,000, that's a 5% return on sales and on a GAAP-based earnings per diluted share of $0.13. This result compares with the prior year's second quarter net income of $1,046,000 and a related earnings per diluted share of $0.14. However, the prior year's net income does include $300,000 or $0.04 of earnings per share related to the income from the proceeds of the life insurance deposit. 
 Hence, on a non-GAAP basis, our GAAP earnings per share for the current quarter of $0.13 is up some 30% over the restated non-GAAP EPS of last year of $0.10. 
 Prior to reviewing Astro-Med's balance sheet at the end of the second quarter, a recap of the company's 6-month results are as follows. Our net sales for the 6 months ended July 28, 2012 were $37,997,000, representing a 3.1% decrease in sales revenues from the previous year's first 6 months. However, again excluding the prior year of divested business, our actual sales were up 2.5% over the prior year. 
 Sales to our domestic customers were $26,752,000, representing 70% of the company's total sales and was virtually flat with the prior year's domestic sales volume. International shipments at $11,246,000 for the 6-month period was down some 9% from last year with the unfavorable foreign exchange of $668,000 accounting for half of the decrease. 
 The sales distribution by product group has QuickLabel Systems at $21,171,000, representing 56% of the company's total revenues. Grass Technologies was next at $8,997,000, representing 24% of the total revenues. And Test & Measurement, including the ruggedized products, at $7,829,000, representing 20% of Astro-Med's total sales revenues. 
 Our gross profits for the first 6 months were $15,670,000, that's a 2% increment over the last year and reflects a margin of 41.2% that's up 190 basis points from the prior year's margin of 39.3%. Astro-Med continues to report improvements in its operating margin as well. Operating income for the first 6 months of this fiscal year were $2,565,000, that's a 44% increase in the operating income from last year's first 6 months and reflects an operating margin of 6.8% as compares to the prior-year margin of 4.5%. The company has earned $1,824,000 in net income for the first half of fiscal 2013, representing a GAAP-based $0.24 in earnings per diluted share and a return on sales of 4.8%. In the previous year's 6-month result, the company earned $1,477,000 in net income equal to $0.20 per diluted share and a return on sales of 3.8%. 
 In reviewing the company's balance sheet at the halfway mark of fiscal 2013, our assets stand at $65,804,000. Our net equity balance is $56,000,354. We had a slight increase in our book value to $7.57. Our cash and marketable securities declined slightly from year end to $22,516,000. Our working capital investments of accounts receivables also declined slightly below $11,578,000. However, our day sales outstanding improved nicely from the year end is 55 days sales outstanding to 50 days sales outstanding. Inventory has also declined during the first 6 months to $13,946,000, however, our days on hand did rise from 105 at year end to 112 at the end of the second quarter. 
 We spent some $319,000 in capital expenditures during the first 6 months, mostly related to machinery and equipment information technology tools, dyes and fixtures. We paid dividends for the first 2 quarters at the rate of $0.07 per share, per quarter and dispersed $1,041,000 in cash this dividend. We -- our employee population declined by 9 employees from year end to 363 currently at the end of the second quarter and we improved in our sales per employee by 11% to 207,000 per employee from 187,000 in the prior year's timeframe. 
 That concludes the review of the financial results for the second quarter and for the 6 months. Everett? 
Everett Pizzuti: Okay, thank you, Joe. Now, with reference to our guidance for the balance of the year, our guidance remains at $78 million to $82 million in revenues and earnings per share from $0.49 to $0.53. 
 And now, Julie, we're ready for questions. 
Operator: [Operator Instructions] We have a question from Tim Schultzman [ph], a private investor. 
Unknown Attendee: Could you give us a sense of how large the market for Kiaro! could be? 
Everett Pizzuti: Well, the market for the Kiaro! is the market for our color label printers in general, which is a huge market that we're addressing piece-by-piece with our various new printer products. The market is the commercial label market, which is being fulfilled nowadays by commercial printers. But what we bring to the table is the ability for a user, a user being a manufacturing facility or a distributor of products, the ability for a user of products, manufacturer of products to print the labels they need when they need them instead of investing and buying labels from a commercial source where they have to pay high tooling charges and commit to hundreds of thousands of labels that they may not need right away and that may go stale before the product is shipped. So that's what we bring to the table. So it's hard to put a number on the size of their market -- of our market, except to say that we're pioneers in bringing table, in-house printing to our customers. And so we have a big market to address and the Kiaro! gets us more of that market. 
Operator: The next question comes from Steve Busch from SouthPaw Investments. 
Steven Busch: So in the quarter, I'm just kind of looking at the Test & Measurement division, which you know is down sequentially. In terms of your -- I guess I was expecting it to be a little higher in terms of the ruggedized cockpit printers. Just comment on the status of that and our backlog there and how fast it's flowing through or not flowing through? 
Everett Pizzuti: Sure. As you know, the Test & Measurement consists of 2 major products. One is the data recorders and I spoke to why those were down because there's some vendor issues with one of our Dash products. But the ruggedized shipments were also down a little and that was due to the fact that there were some just some timing differences from our existing contracts. So we see that -- since we have visibility on those contracts for a minimum of 6 months ahead of us, we know that the next 2 quarters are going to be good for ruggedized products because we have the contracts in hand and the releases in hand. So that we have excellent visibility on. So that little decline in ruggedized products in the second quarter was strictly a timing issue and they'll be right back stronger in the third and fourth quarters. And with respect to our orders, as Joe pointed out, orders for ruggedized products were up. They were up over the second quarter. They were up over last year. They were even up over our budget expectations. So that's the good news. 
Steven Busch: All right. Do you expect to be able to, I guess, the last couple of calls, we've been discussing whether or not those cockpit printers would be increasing in their rate of increase rate of shipment? 
Everett Pizzuti: Right. Yes, the pace of releases against contract has really increased. We saw a little -- there was just a timing issue for 1 or 2 aircrafts just recently. It was just a blip, you might say, that's not going to repeat, and going forward, you're definitely going to see more ruggedized products shipments each quarter. Again, we have that... 
Steven Busch: And are you able to quantify the rate of increase, it was going to be 5% a quarter, 10% -- and are we ever going to get to like a 30% increase quarterly or is that just not that fast of a...? 
Everett Pizzuti: Well, I guess I'm not in a position to give you those statistics right now. But all I can assure you is that we personally have visibility or these releases, we know it's going to be more in the third and fourth quarters. We've essentially have always been double digits. So we can say at least we expect to see the double-digit growth. 
Steven Busch: Okay, that's fair enough. And now just kind of a quick general economy systems since QuickLabel is broadly diversified, right? 
Everett Pizzuti: Yes. 
Steven Busch: Are you seeing any kind of a slowdown? You seeing customers just being steady, are you seeing people looking forward and buying inventory in advance or is everything just kind of in a smooth, holding the pattern? 
Everett Pizzuti: Yes, what we see is -- one of the key indicators on the QuickLabel side is the media business that we get, the label business that we get. And that usually goes up or down before the hardware does. And so far for the last 2 quarters, the media business has been on a steady rise, which in our mind points to -- based on past history, points to -- it's not too sensitive to the economy, it's growing. And so with respect to the hardware, we had a very good quarter in the second quarter in spite of the economic conditions. Most of the softness is in the international market. In the domestic market, we haven't seen the effects of the economy too much. But we're certainly sensitive to it and trying to be conservative in our numbers. 
Operator: The next question comes from Joe Furst from Furst Associates. 
Joe Furst: Last quarter, you mentioned you thought you might be fairly close to making some acquisitions, and using that cash, did you have any progress on that? 
Everett Pizzuti: We've made progress but we're not close enough to anything, to say anything, but we could only say that we're still working in that area with some specific targets. 
Operator: [Operator Instructions] You have a question from Charlie Dow [ph], private investor. 
Unknown Attendee: Just wondering if you could comment on when the foreign exchange issue will be dampened? Do you expect this foreign exchange issue in terms of dampened revenues to be there for like 2 to 3 years or... 
Everett Pizzuti: Good question, Charlie. I think we have -- we're taking a hard look at that. Actually, we have to take a look at some possibilities of doing some contracts to hedge and some of these going forward, but we're trying to mitigate, if you will, the impact from the foreign exchange. We think it would be less of an impact in the third and the fourth quarter, but obviously, there will be some impact on the company's financial, on the sales. 
Unknown Attendee: Right, but in terms of -- so looking out to next year into, you see that as an issue that won't be as much of an impact? 
Everett Pizzuti: We think so. We have some ideas as to how we're going to -- as a strategy to be able to hedge on some of those, the impact of the foreign-exchange, especially in Europe. 
Unknown Attendee: Yes. Certainly, it would deliver more to the bottom line. And in terms... 
Everett Pizzuti: That's correct. Yes, you're absolutely right. 
Unknown Attendee: Yes. In terms of the outstanding RFPs on the ruggedized printers, what's the current magnitude of that? 
Everett Pizzuti: Well, outstanding contracts in hand is about $180 million. Those are contracts in hand. We don't, as I mentioned on previous calls, we don't book those contracts, we book the releases as they come in daily and weekly and so forth. And in addition to that, we have probably another $100 million in various stages of negotiation. I guess that's the RFP that you referred to. So, yes, we have a number of very active negotiations that our team is working on as we speak and a number of different areas and with different contractors as well as aircraft manufacturers. So there continues to be a great deal of activity in that ruggedized product area. 
Operator: [Operator Instructions] We have no more questions at this time. Please continue. 
Everett Pizzuti: Okay, we want to thank you for joining the conference call and we'll be speaking to you again in mid-November. Thank you very much and bye-bye now. 
Joseph O'Connell: Bye now. 
Operator: Thank you. This concludes the conference call. Thank you for participating. You may now disconnect.